Operator: I would like to welcome everyone to the Public Service Enterprise Group second quarter 2009 earnings call. (Operator Instructions). Ms. Kathleen Lally, you may begin your conference.
Kathleen Lally: Thank you all for participating in our call this morning. We released our second quarter 2009 earnings statements earlier today. The release and attachments are posted on our website, www.pseg.com, under the Investor section. And we also posted a series of slides that detail operating results by company for the quarter. Our 10-Q for the period ended June 30th, 2009 is expected to be filed later today after the close. I am not going to read the full disclaimer statements or the comments we have on the difference between operating earnings and GAAP results, but I do ask that you all read those comments contained in our slides and on our website. The disclaimer statement regards forward-looking statements detailing the number of risks and uncertainties that could cause actual results to differ materially from forward-looking statements made therein. And although we may elect to update forward-looking statements from time to time, we specifically disclaim any obligation to do so, even if our estimate changes, unless required by applicable securities laws. We also present the commentary with regard to the difference between operating earnings and net income reported in accordance with generally accepted accounting principles in the United States. PSEG believes that the non-GAAP financial measure of operating earnings provides a consistent and comparable measure of performance of metrics to help shareholders understand performance trends. I would now like to turn the call over to Ralph Izzo, Chairman President, and Chief Executive Officer of Public Service Enterprise Group. Joining Ralph on the call is Caroline Dorsa, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions and we ask that you limit yourself to one question and one follow-up.
Ralph Izzo: Earlier this morning we reported operating earnings for the second quarter of 2009 of $0.63 per share, which is slightly more than a 3% increase over last year's $0.61 per share. Our operating results, both in the current and the prior year, exclude the impact on earnings from a change in the value of our nuclear decommissioning trust fund as well as mark-to-market accounting related adjustments. To say that the business environment we face is challenging is an understatement, but we're meeting those challenges. Cooler than normal summer weather has sent us to the record books to determine when we last experienced conditions similar to this year. In fact, June of 2009 will go down as the second coolest in this part of the country since 1970, and July has also been abnormally cool. Notwithstanding this unfavorable weather, PSEG was able to increase its operating earnings and achieve success on several major regulatory initiatives that provide a foundation for future growth. But that's not all. We've also reduced the potential risk we face on our cross-border leveraged lease portfolio with the successful termination of five leases in the second quarter. Since the beginning of December 2008, we've terminated eight cross-border leveraged leases in our portfolio. These terminations have reduced a tax risk we faced by approximately $350 million. Caroline will go into greater detail on that subject later on. I'm also pleased by the Environmental Protection Agency's, U.S. EPA if you will, recent recognition of our success in reducing our rate of greenhouse gas emissions. We set a goal in 2002 to reduce our greenhouse gas emissions intensity by 18% from 2000 levels by the year 2008. We surpassed that goal and achieved a 31% reduction in our emissions intensity. The importance of this is that we've solidified our position as one of the nation's leading low carbon energy companies. We've been active participants in the debate at the national level as Congress considers action on bills that could reshape the nation's approach to energy policy, as an established policy at the national level with clear objectives would provide the blueprint we and others need to proceed with disciplined investments. Fortunately, New Jersey is not waiting for Congress. The New Jersey BP's approval of programs in the past two months supporting investments in capital infrastructure, economic energy efficiency and most recently, Solar 4 All, supports the state's long-term clean energy goals as they also provide opportunity over the near term for jobs and growth for PSEG. None of this success would have been achieved without the focus of our dedicated workforce. Operating performance remains strong and our expenses have been reduced to help offset the impact of higher pension costs. But the abnormal weather conditions experienced thus far this summer, and by that I do mean through the end of July, will challenge our ability to meet the upper end of our $3.00 to $3.25 per share operating earnings guidance. I can assure you that we are working hard to create value for our shareholders. We're focused on optimizing margins on generation through the use of our asset mix. We're focused on managing our non-pension related cost structure as well as controlling the growth in pension-related expenses. We're increasing our capital investment in areas that provide good risk-adjusted returns and we're focused on maintaining our financial strength through a reduction in risks, primarily through the lease portfolio. And now, I am pleased to turn the call over to Caroline Dorsa who will discuss the quarter in greater detail.
Caroline Dorsa: As Ralph has said, PSEG reported second quarter 2009 operating earnings of $0.63 per share versus $0.61 per share in last year's second quarter. Just to remind you, our operating earnings exclude the impact of any change in value for our NDT obligations, as well as other charges related to decommissioning and any changes in value of transactions that don't qualify for hedge accounting or mark-to-market. The prior year number has also been adjusted on the same basis to make comparisons easy to follow. Slide four provides a reconciliation of operating income to income from continuing operations and net income for the quarter. As you can see on slide 10, PSEG Power provides the largest contribution to earnings and was responsible for the improvement in earnings for the quarter. Power reported operating earnings of $0.47 per share, an increase from $0.42 per share last year. PSE&G reported operating earnings of $0.09 per share compared to $0.10 per share last year. PSEG Energy Holdings recorded operating earnings of $0.07 per share compared with $0.10 per share a year ago. Parent company expenses, which are primarily interest, declined to zero in this quarter from $0.01 per share a year ago. We've provided you with a waterfall chart on slide 12 that takes you through the net changes in quarter-over-quarter operating earnings by major business and I'll now review each of those companies in greater detail, starting with Power. As shown on slide 14, PSEG Power reported operating earnings for the second quarter of $0.47 per share compared with $0.42 per share a year ago. The operating environment in the quarter was very challenging given the weak economy, abnormally cool weather and low gas prices. But Power's results were strong despite this environment given its base-load hedge position and the dispatch profile of its generating units. As you will see, we produced a larger percentage of energy from our low-cost nuclear fleet and gas continued to displace coal in the quarter. And as you may recall, this is similar to the situation in the first quarter. Higher average prices realized by Power and lower fuel costs contributed $0.04 per share to earnings. Higher average realized prices reflect the impact of two months of the 2008 BGS contract for $111.50 per megawatt hour which replaced the 2005 auction contract, which was priced at $65.41 per megawatt hour for the three-year contract period beginning on June 1st of last year and one month of the 2009 BGS contract for $103.72 per megawatt hour, which replaced the 2006 contract for $102.51 per megawatt hour. In addition, the re-pricing of a below market round the clock wholesale contract for 500 megawatts which expired at the end of 2008, also supported the quarter-over-quarter improvement in prices. Power's operating results continue to benefit from a strong performance of a nuclear fleet. Generation from our nuclear plants increased slightly more than 2% in the quarter even as Power's overall generation output declined 15%. Power's New Jersey fleet operated at an 88.9% capacity factor in the quarter, and including Power's ownership interest in Peach Bottom, the fleet operated at a capacity factor of 89.1% versus 90.5% in the year-ago quarter. The performance in the quarter reflected the impact of 23 outage-related days versus 44 days in the year-ago quarter. This year's results include 23 refueling outage days at our 100% owned Hope Creek stations. Last year in the second quarter with 44 outage days primarily related to the replacement of the steam generator at our 57% owned Salem 2 unit. So the impact on our share of overall generation was smaller per outage day last year since it related to jointly owned facilities. The increase in nuclear generation this quarter is also a reflection of the upgrade and turbine replacement work completed at Hope Creek station and Salem in the second quarter of 2008, which added 173 megawatts to the capacity of those units. Cold than normal weather, a weak economy and low gas prices have affected both demand and the dispatch of our generating fleet. As I said earlier, generation declined 15% in the quarter resulting in a 10% decline in generation for the first half of the year. Slide 16 provides a breakdown of generation by fuel and the quarter is shown on the left side of the page. Nuclear was 62% of our generating output in the quarter versus 52 in the year ago period. Our combined cycle fleet experienced a 16% decline in production but met 25% of the reduced load. Our coal fleet, particularly those units supplied with higher priced coal were not called upon much during the month of June. Output from our coal fleet declined overall 51% in the quarter. Slide 17 provides a break down for our fuel costs for the quarter and year to date. And overall, despite generation being down by 15%, fuel costs per megawatt hour declined 53% from $36.50 per megawatt hour last year to $17.20 per megawatt hour in this quarter. The shift in dispatch of our generating fleet, enabling us to take advantage of low-cost gas versus higher priced coal supported an improvement in gross margins. During the quarter, gross margin improved to $63.00 per megawatt hour from $50.00 per megawatt hour last year. To date we burned 1.2 million fewer tons of coal than normal. We have flexibility built into our coal contracts that allows us to turn back deliveries at a cost, and we're currently at the high-end of our capacity to store coal at most of our stations. And without any change in demand we would expect to incur some minimal expense to deal with management of our inventory in the second half of 2009. These costs are of course factored into our guidance. Other items which had an influence on Power's quarter included a moderate decline in our BGSS results, $0.01 per share. The maintenance expense also decreased by $0.01 per share. Overall, Power's O&M continues to be tightly managed. Excluding the impact of pension expense Power's O&M year-to-date is in fact lower than in 2008. We've lowered our forecast of Power's operating earnings in 2009 by 3% to 1.17 billion to 1.24 billion from the prior 1.21 billion to 1.285 billion. It will in fact be difficult to make up the loss of load experienced in the first half of the year during the remainder of 2009. This is particularly true given the cool weather experienced already in the month of July. Margins per megawatt hour however will be higher than our prior forecast for the year, given the decline of fuel cost. We currently forecast gross margins for 2009 of $61.00 per megawatt hour versus our prior guidance of $57.00 to $58.00 per megawatt hour. This improvement offsets a significant amount of the decline in demand that we see related to the economy. Our revised guidance takes into account primarily the impact of the cool summer experienced through the end of July. Let me now turn for a moment to the other operating companies. PSE&G. PSE&G reported operating earnings for the second quarter of 2009, $0.09 per share compared with $0.10 per share for the second quarter of 2008 as shown on slide 21. Electric revenue declined during the second quarter by $0.01 per share. Total gas margin improved by $0.01 per share. Earnings were also aided by an increase in transmission revenues effective on October 1st of last year for $0.01 per share. And this improvement was offset by higher depreciation, on increased levels of investment $0.01 per share, and O&M expense at $0.01 per share. Regarding O&M, PSE&G also continues to demonstrate control of its operation expense. Excluding an increase in pension expense and expenses associated with regulatory causes which are recovered in revenue, operating and maintenance expense, the items that are really controllable, declined slightly for PSE&G during the quarter. Electric demand was heavily affected by the cooler than normal weather and summer weather as measured by the Temperature Humidity Index which you probably know as the THI, was 41% cooler than normal in the month of June reducing air conditioning loads and as a result electric demand. Electric sales volume declined 5.4% in the quarter but on a weather normalized basis we estimate electric sales declined 1.8% in the quarter, in line with our forecast for the full year. Margins on electric sales were relatively unchanged. Slide 23 provides an overview of the items that affect electric and gas margins. As shown, and as we've shown before, about 60% of PSE&G's electric margin and 30% of PSE&G's gas margin is supported by demand charges which are unaffected by changes in volume. PSE&G earned a 9.2% return on average consolidated equity for the 12-month period ending June 30 of this year. The return earned on equity invested in the electric transmission business exceeded 11%. The return earned on PSE&G's electric and gas distribution businesses is substantially lower than the level authorized. On May 29 of this year, PSE&G filed a request with the New Jersey Board of Public Utilities, or the BPU, for an increase in electric and gas revenues totaling $230 million. The requested increase is based on a 2009 test year and supports an 11.5% return on equity and a 51% equity ratio. And, as we have noted, we have also requested trackers for pension expense and capital addition. The rate case typically requires 9 to 12 months of hearings and deliberations before changes is effective. We expect this case to take that full amount of time. The BPU has also approved several initiatives proposed by PSE&G in order to help meet the goals of New Jersey's energy master plan. Recently on July 27 the BPU approved PSE&G's Solar 4 All program. Through this program, PRE&G will invest $515 million on the installation of 80 megawatts of new solar projects over 2009 through 2013. On July 1st they approved the investing of $166 million over 18 months on PSE&G's energy efficiency economic stimulus program. And these programs are in addition to their already 2009 of this year approval of PSE&G's capital infrastructure program. Together, these programs will increase PSE&G's capital investments by $1.3 billion over 2009 through 2001 to a total of $4.5 billion. Slide 24 outlines the change in capital spending by year from the levels forecast in the 2008 10-K. We have reduced our forecast of PSE&G's 2009 operating earnings to $315 million to $335 million from the prior $320 million to $345 million. Our revised forecast takes into account the impact of the abnormally cool weather on electric sales over the months of June and July. We see no reason to adjust our forecast of full year weather normalized sales. Although we have experienced an uptick in growth, there's also no evidence to suggest a further deterioration in sales as a result of a weak economy. Results in the second half of '09 will continue to be affected by an increase in pension expense, depreciation and higher financing costs. Lastly, let me discuss PSEG energy holdings. Energy holdings reported operated earnings of $0.07 per share versus operating earnings of $0.10 per share during the second quarter of 2008. Holdings quarterly earnings comparisons were affected by several items. The operating profit of holdings gas-fired combined cycle generating capacity in Texas declined by $0.06 per share, a reduction in demand and lower energy prices in comparison, particularly, to very strong pricing in the year-ago period more than offset a decline in maintenance expense and lower financing costs. As Ralph mentioned earlier, earnings comparisons in Holdings were aided by the recognition of gain on successful termination of five cross-border leveraged leases in the quarter for $0.05 per share. We've terminated eight of these types of leases since the beginning of December 2008, bringing in cash of approximately $450 million and reducing our cash tax liability by $350 million. Keep in mind, our tax cash liability was $1.2 billion at the end of 2008 and would normally grow as we recognize the tax deductions associated with our investments. In fact, if we had not terminated these leases, the cash tax liability would have grown to approximately $1.3 billion by this time, and our actions to terminate these leases has therefore reduced this cash tax liability by over 25%. And the reduction was funded entirely by the proceeds from our counterparties. Also, as we have indicated, since we established a reserve a year ago, and we accrue lease earnings at a significantly lower rate, our income statement exposure is very limited. We have 10 cross-border leveraged leases remaining in our portfolio and we intend to pursue their sales when economically prudent. We also increased our reserve on deposit with the IRS during the quarter for this matter by $140 million to $320 million. And keep in mind, this is separate from and in addition, to the taxes paid that I mentioned a moment ago for the terminations. We continue to believe we have a very good position should we pursue litigation of our claim in court, but our ability to terminate leases on an economic basis reduces our dependence on a favorable court outcome. Based on the reduction in our cash tax liability achieved thus far and our ability to fund an increased deposit from operating cash flow, we do not see the need to issue debt in 2009, specifically to fund any potential tax payment. We've raised our forecast of PSEG Energy Holdings 2009 operating earnings to $40 million to $65 million from the prior $0 to $20 million. Our revised forecast takes into account the gains achieved on lease terminations and our ongoing effort to reduce the portfolio. As it indicated in the review of operating company performance, we've modified our range of expectations by subsidiary to reflect the operating conditions I mentioned. We continue to actively manage our controllable expenses. During the first half of 2009, our O&M expenses, excluding pension expense, are down slightly from year-ago levels. But, as Ralph said, the cool weather conditions we have experienced, both in the second quarter and continuing through July, challenge our ability to meet the upper end of our $3.00 to $3.25 per share range for the year. Just a comment on our capital and financial position, which remain strong, we closed out this quarter with $393 million of cash on our books, which is an increase of $72 million from year end 2008. This is after increasing our reserve at the IRS by $140 million, reducing our level of debt, excluding securitization debt by $80 million, and completing all of our anticipated funding for our 2009 pension obligations of $360 million. In June, a $100 million bilateral credit agreement expired at Power another $100 million bilateral agreement expired at PSEG. Energy Holdings also terminated its $136 million credit facility that was scheduled to expire in June of 2010. And to replace this capacity, we established a new $350 million syndicated credit facility at Power that expires in July of 2011. So as of July 24th, we have $3.2 billion of capital from our credit facilities available to meet the operating cash needs of the business. Finally, the balance sheet has been strengthened. If you do a simple calculation of long-term debt-to-total capitalization that number has been reduced from 50% at year-end 2008 to 48% at June 30th. Our tax liability is lower than we forecast just six months ago based on our active portfolio management and finally, our internal cash remains strong. With that summary, I'll now turn it back over to [Conchetta] and we'll be happy to take your questions.
Operator: (Operator Instructions). Our first question comes from Daniel Eggers – Credit Suisse.
Daniel Eggers – Credit Suisse: Good morning. I was trying to map this out and maybe I missed it, but what was the total weather impact that you guys have seen year-to-date or year-to-date through July relative to normal?
Ralph Izzo: So Dan, we have given that in a couple different ways, we give it in terms of a THI effect and we give it in terms of the percentage of generation reduced. So I'm glancing at my numbers –
Daniel Eggers – Credit Suisse: I am trying to see if there's a way of an earnings impact to figure out how much of the slippage from the middle, midpoint or upper end of the range is just a function of weather this year.
Kathleen Lally: For the utility year-over-year debt electrical side, excuse me this is Kathleen Lally, it cost about $0.01 for the first six months of the year in electric. There's probably some slippage in July. I wouldn't know what that number is, but that's $0.01. But more importantly, you're going to see some of that impact for Power, which is really it's the overall demand and I can't translate that $0.01 that we see for electric into Power, but the decline in Power is due to weather.
Caroline Dorsa: And I think Dan, one way to think about this – this is Caroline – is in the first quarter of the year we saw a total generation decline at Power by about 4%, which was really more the economy and this quarter we see 15%. There's really no reason to think the economy is very different and so when you look at the generation I think you should think about that net is about weather. And when we look at what we have done and provided as updated guidance, when you look at the impact of the economy, and particularly if you assume it extends for the year, but then you look at what we've been able to do in margin, that pretty much offsets what happens from the economy and so we tend to think about that guidance reduction that we've given for Power, which is about 3% in the aggregate when you compare the numbers. It's really the impact of the weather when you net it all out.
Ralph Izzo: So just take the margin times the reduced sales and you pretty much get there.
Daniel Eggers – Credit Suisse: Okay, and then I guess along those lines, the gas plant performance or utilization in the quarter, or relative share, was quite a bit bigger than I would have anticipated. How much more of that do you see, and I guess philosophically if we were to think about the switching decision when you guys decide coal versus gas. Are you looking at market-based costs for fuels or are you thinking about legacy costs for fuels when you make a coal switch decision?
Caroline Dorsa: Well certainly we look at the market-based cost for gas, which obviously gives us a real obvious advantage. And we do have to look at our cost for coal because we have that mix not just with Appalachian coal but of that higher priced [Adaro] coal. And so when we look at that, that's how we think about how we can optimize our margins.
Operator: Our next question comes from the line of Nathan Judge – Atlantic Equities.
Nathan Judge – Atlantic Equities: Good morning. Just wanted to ask further questions on the reduction in or the gain related the leases and you mention that you had 10 leases remaining. How much potentially could you reduce your cash tax liability if you were to exit the remaining 10 leases and how likely are those actually to get done?
Caroline Dorsa: Sure, good question. So from the ones that we have terminated thus far, as I said, we reduced that liability now down to $950 million from what it would have been if we'd done nothing. If we were able to terminate all the leases, and I don't want you to necessarily conclude that we can terminate every single one, since obviously that's a negotiation between two parties. But if we terminated all those leases, the only liability that's effectively left is the interest liability that relates to the timing of when those deductions were taken, and so if you reduce the entire liability except for timing you're talking about a number of about $250 million or so that would be left that's all timing related. So can't say whether we'd get to all of them, probably shouldn't assume we should do every single one. We're still looking at the managing economically when we can do things like terminate leases and have all the taxes that are due be paid by proceeds by the other party, but that's about the rough math.
Nathan Judge – Atlantic Equities: And just as you've seen my follow question that – did that have an effect on the tax rate in the quarter? I noticed it was up four percentage points over last year. I guess what is your full year tax rate expectations?
Caroline Dorsa : It has a slight impact in increasing the tax rates for the quarter because the lease terminations have some particulars state tax results that a little different from the ongoing business. So I would consider that bump in the tax rate for this quarter as related to the terminations and although we're not giving specific tax rate guidance I would use more like we had in the first quarter.
Operator: Our next question comes from Greg Gordon – Morgan Stanley.
Greg Gordon – Morgan Stanley: Thanks, good morning everyone. Still getting use to that new name, but the – when I look at slide 24 at the revised capital spending numbers and we look at the makeup of that coming from stimulus energy efficiency and Solar 4 All, are these items all being accounted for in terms of the ultimate ability to generate revenue and earnings through mechanisms outside the formal rate making mechanism, i.e. are they all on riders or trackers, so that we can assume that you'll earn on them at a reasonable return without having to have the classic regulatory lag?
Ralph Izzo: Yes, Greg. As a matter of fact that was, if you will a condition precedent with our regulators in discussion with them was that we would not deploy this capital without what we're calling contemporaneous returns in a formula rate-type structure.
Greg Gordon – Morgan Stanley: Great so what is the formula – in the formula what's the equity ratio and the return on equity?
Ralph Izzo: The way it works right now is they get a 10% return on equity with a 47% equity ratio. Those numbers will be adjusted to whatever comes out of the base rate case, which we have filed. However, the contemporaneous nature of it will not be changed.
Greg Gordon – Morgan Stanley: Okay so are those – are the adjustments to rates made quarterly, semi annually?
Ralph Izzo : So what happens is we forecast the spend going forward, we then get a rate adjustment prospectively for that and then we true up at the end of the year.
Operator: Our next question comes from David Frank – Catapult.
David Frank – Catapult: I wanted to ask you did you participate in win load in Pico's auction?
Caroline Dorsa : So we have participated in Pico's auction. We actually participate in a number of those types of transactions, either block or full requirement. And we did win a few tranches so we were successful and we're pleased with that. That's part of the ongoing activities of our energy resource and trade group, and they participate actively in auctions like that.
David Frank – Catapult: Okay, so were you a winner in the Pico auction?
Caroline Dorsa: We did win some tranches, yes.
David Frank – Catapult: Okay, because I was told there were only two winners, Pico and one other party, so –
Ralph Izzo: We can't comment on that.
Caroline Dorsa: We were one of them
David Frank – Catapult: Okay, I think you're one of the two. This brings up and interesting point because –
Ralph Izzo: Where did you get your information from?
David Frank – Catapult: Well that came from someone at [Excelan], so they were curious who the other party was, and I said I didn't know, but I figured it had to be – you were one of two picks, so. On these auctions I heard [Constellation] talk about auctions earlier today and was talking to [Relian] about them recently and a few parties and I guess the impression I'm being given is that when you participate in an auction in your service territory or where the generation is incumbent to serving that load you realize really fantastic margins even if power prices are moving down and risks spreads or whatever are declining. When you start getting into other regions the impression I was given now was that when you factor in the costs of transmitting the power and maybe buying some of the costs related to serving that load, that the margins have been bid down to almost very nominal amounts versus what the around the clock price in those regions are. I didn't know if you had any comment on this? Is this accurate or are you seeing a trend?
Ralph Izzo: I wouldn't agree with that characterization as the cause for margin differences, David. What I think is the primary cause behind one company or another having a better or not as good margin is the asset mix, and whether or not the product is a full requirements product or whether it's a block product. And there's risk associated with only having a slice of the asset mix required to meet the full requirements of the customer. And to the extent that one has to split the baby or split the pie with others when you don't have that asset mix, the question becomes how much of the margin's yours versus how much of it is shared, how much risk do you have to take in relying on somebody else's operation? How much risk do you have in not controlling the assets that will be needed and when prices get prohibitively high during a peak time and they eat in all the margin that you that you accumulated in the prior 364 days and so forth. And so what you tend to see is that those companies with a comprehensive asset mix along the dispatch curve, I think, are well positioned in those markets. And where they don't and where they have to rely on others the margins get thinner.
David Frank – Catapult: So I guess suffice it to say that when you're bidding on load outside your region have you seen a decline in margins versus what you're able to get in auctions maybe a year or two ago?
Ralph Izzo: No, I don't think that's true. In fact the margins if anything have gone up. Just look at what the cost of credit is, look at the risk associated, look at the risk premiere of the capital markets are applying in a whole host of areas. So I would say it's quite the opposite. Now if your question is are your margins stronger places where you have assets where you don't then the answer to that of course is yes. I mean, but I don't see, given an identical asset mix in a given location, margins have probably increased over the past few years rather than going down.
David Frank – Catapult: Okay, so that's – you guys are the first person I've heard say that on this issue, but I guess maybe we can do a bit of a dive off the call. But thanks Ralph, I appreciate the insight.
Operator: Our next question comes from Ashar Kahan – Incremental Capital
Ashar Kahan – Incremental Capital: Just a question on going forward as you look at energy holding, should we go back to kind of the lower guidance because these lease income gains are no longer going to be repeatable? I'm just trying to get a sense as I look at this for next year and the year after.
Caroline Dorsa: We haven't obviously given any guidance for you know after this year as we haven't for any other part of our business, but you're correct that the increase that we put in this guidance is reflective significantly of these lease gains on our ongoing efforts to reduce the portfolio. Keep in mind, though, that we not assuming we're terminating all the leases and we still will have lease income from probably some of these leases and the rest of the leasing [inaudible] portfolio and energy holdings, other assets which include Texas and some of the renewables business it's building. So it's too early to give any guidance for 2010, but holdings is not just the leveraged lease portfolio.
Ralph Izzo: Plus it's safe to assume, Ashar, as we look forward to the earnings potential of these leases and we pull that into the current year, we only do that when we think we can pull forward a greater economic value that would otherwise be there. So I just look at running out the life of the lease and generating earnings that way versus selling the leases and generating earnings that way as a prudent management of these assets. And so whether it's earnings by sale or earnings by running them out, that's to me just whatever we can do on behalf of the shareholder that maximizes their value. Plus I think from the re-pricing of leases, they weren't contributing much to earnings this year in any event, nor next year. As a matter of fact I think they were producing a loss this year if I'm not mistaken.
Ashar Kahan – Incremental Capital: Well that was my next question, what is the lease income left over from the remaining leases?
Caroline Dorsa: It's a very small number because, as you may recall, last year not only did we take the reserve to bring the leases in line with the expectations given what was happening with the IRS, we also booked it as a very much reduced rate on an ongoing basis. So in terms of the year-over-year impact that was a negative impact. But in terms of what we're actually be booking it's a very small number. We haven't broken it out, but it's a very small number.
Ashar Kahan – Incremental Capital: Then let's make a shift into this higher CapEx guidance, previously you still had excess cash kind of a thing. Does this higher CapEx now take care of all that excess cash that was to be, was kind of what to do with that excess cash? I'm trying to get a sense of does this fully fund itself into that [block] that you had in your previous presentations?
Caroline Dorsa: No, so I'm glad you asked that question. So to repeat as we said on the summary of our financial position, we closed the quarter with almost $400 million in cash. And when we look at the capital expenditures that we have here, both for the utility, the new ones that we mentioned as well as the ongoing base level of CapEx, which by the way which includes transmission which obviously gets a significant return, and Power's cutbacks, we look at this from the perspective of being able to fund it with a combination of internally generated cash, but also appropriate access to the capital markets. And when we look out on, just sort of speaking in broad terms, we see our ability to do that from those two sources while still keeping a tight balance sheet in terms of overall debt to capital ratios and absolutely not needing any equity. So I think of this as absolutely within our balance sheet and access to capital markets means, but not precluding us from doing the things we need to do, and we're certainly not issuing equity.
Ashar Kahan – Incremental Capital: If I can just stand up with, just to Greg's question, the [arc] effects in '10. Will that, the amount that is higher, will that translate into earnings for that year? Or does a true-up happen, I wasn't understood it properly, does true-up happen at the end of the year so it will be at a year's lag or the higher CapEx for '10 will earn and show up in earnings in '10?
Ralph Izzo: No, no, the prospective rates, Ashar, as we file the case and as we get approval the earnings actually show up in '10. So we ...
Ashar Kahan – Incremental Capital: So the higher CapEx that you're doing for solar and energy efficiency and all those things in '10?
Ralph Izzo: Correct and in order ...
Ashar Kahan – Incremental Capital: Will those earning show up in '10 for those items or in '11?
Ralph Izzo: For '10 for those items, now the requirement on us is that we monthly confirm with the Board of Public Utilities the fact that we've made those capital investments. So as long as stay on the schedule we give the Board of Public Utilities then the prospective rate [inaudible] produces a 10% ROE on 47% of the investment.
Ashar Kahan – Incremental Capital: So we can just do that 47 times 10 on those investments as [inaudible] additional earnings in '10?
Ralph Izzo: That's the rule of thumb we generally use.
Caroline Dorsa: And just to add a point to that to just think of it as capital and total in the 2008 10-K projections which we just show as a line so we can highlight what's new. There's significant capital within that $1.1 billion in 2010 that's transmission related. It also provides current return on a similar basis. So about $490 million of that $1.1 billion is transmission related and that operates in a similar manner to what Ralph just described for the other, newer additions and of course the kind of returns that we get on transmission are in the 11% to 12% range. So think of that when you think of the capital as well.
Operator: Our next question comes from Paul Patterson – Glen Rocks Associates.
Paul Patterson – Glen Rocks Associates: Just not to ask too many questions about the leases, but it looks to me like you guys increased your numbers based on not only what you guys have recognized already, but what you might recognize in the future. And I guess I'm sort of backing into it, I might have done the math wrong, about $0.05 a share of potential additional lease sales this year?
Caroline Dorsa: No.
Paul Patterson – Glen Rocks Associates: I'm going from zero to [$20 to $40 to $65] and it would seem to me that about, I don't know, the difference between [$40 and $65] seems to be [$25] which would be about $0.05 a share I would guess, correct?
Caroline Dorsa: Well in terms of the leases that we already terminated this quarter, as we said those leases contributed $0.05 in the quarter. And of course that's wrapped into our full-year guidance.
Paul Patterson – Glen Rocks Associates: But $0.07 for the first six months, correct?
Caroline Dorsa: That's correct.
Paul Patterson – Glen Rocks Associates: And so there's a potential for you to do more and, I guess, what I'm trying to get a figure for let me ask you this way, what is the potential additional benefit you might, you're projecting in your numbers for lease sales?
Caroline Dorsa: I think we shouldn't project that or forecast it. And if you think about it, we really can't because it relates to our ability to negotiate with the counter-parties and terminate the leases. And while we intend to continue to do that because of the favorable results we've had thus far, we do have criteria for doing that and that includes they be economic transactions. We're not giving these away. They meet the kind of things like enabling us to reduce our liability with the IRS, primarily funded through the counter-parties. All of it has been funded through the counter-parties to date. So I think we're not going to get into that level of detail except to say that, yes, we're trying to do more of this. We think this is a good way to manage our risks. Beyond that I don't want to speculate at this point. And, Paul, I don't think you can simply say the difference between zero and [$20 and $40 to $65] is all leases or that we're going to be doing a lot more. We've got 36. If you take this difference between zero and [$20], let's say we were going to earn [$10] combination with Texas and other assets, nothing from leases in there. In fact perhaps a little loss on an operating side, but now we've booked $36 million in gains in the first half from that $10 million gets us to $46 million. So between that and normal operations in Texas maybe we got there, I don't want to lead you to think there's a chunk more of gain even though we're working hard to secure that reduction in tax liability.
Paul Patterson – Glen Rocks Associates: In terms of like just to sort of understand this, what is the impact, is there any impact other than the potential absence of having these gains in future years? I mean does it, if you're doing these transactions, does that impact 2010's earnings in any material way?
Caroline Dorsa: So keep in mind, and you're right to ask the question, if we terminate the leases and we no longer have lease income in future years, but remember when we took the reserves last year in the second quarter, not only did we take a step-up in the reserve, we significantly reduced to really minimal levels the amount that we're actually booking for leases. So it's not a big number in terms of going forward into 2010 for the leases that we terminated. But, yes, what we're doing in recognizing the gains and recognizing them in this quarter, we're accelerating that operating earnings into this quarter by determination. But we haven't broken out, and of course we haven't guided for '10, we haven't broken that out in detail. But that's generally the right way to think about it, but remember it's at a very reduced rate for the P&L.
Paul Patterson – Glen Rocks Associates: And then the coal, low coal burn, you mentioned that you've got higher priced coal and lower priced coal. And I am wondering, it would seem to me that you might be, and clarify this if I am wrong, but it would seem to me that if you are burning less coal you're increasing a stockpile of coal. And what I am wondering is, is what kind of coal is being stockpiled, assuming that I am right? If there is more coal being stockpiled or less being delivered, or more to be delivered in 2010 or to be burned in 2010, is that the higher priced coal or the lower priced coal and how might that impact earnings?
Ralph Izzo: It's a combination of met coal and the [Adaro] coal that we're stockpiling and you're correct, Paul, to assume that we are stockpiling coal. It also is important to know that we do have flexibility in our higher priced coal, the [Adaro] coal, to turn back coal and we have been turning back coal. It comes at a modest cost, but nonetheless, we do the analysis. And to Dan's question before, as the market price for coal comes down we don't worry about the fixed cost. We worry about the market costs and then we would operate those coal plants if we could get a decent market rate relative to gas. The issue here has been the rate at which gas has been trading. So yes, we are stockpiling. We have the ability to turn some of the coal back and we carefully monitor the difference in the market price of the two fuels as we look to dispatch on a day-to-day basis.
Paul Peterson – Glen Rocks Associates: Okay, so in other words, is there any potential impact on EPS in 2010 as a result of this?
Ralph Izzo: No, not in 2010.
Operator: Our next question comes from Andrew Levy – Incremental Capital.
Andrew Levi – Incremental Capital: Hi, most of my questions were asked. I'm just trying to figure out the thinking on including the lease gains in operating earnings for guidance. Just explain that.
Caroline Dorsa: Sure, so if you think about the leases that we have in our portfolio, we are in the leasing business and as we, within Energy Holdings, of course, and it is a part of our operating earnings as we earn out over these leases. So the way I think about this is this is a reflection of accelerating what would have otherwise been some operating earnings we've earn over a very long period of time and it is part of the Holdings business. So, I wouldn't take it out because it is effectively operating earnings just recognized at a different point in time.
Andrew Levi – Incremental Capital: Okay, I don't know if I'd agree with that, but just as you, again, just kind of going with what Paul said, I would assume we'd have to back out these earnings into 2010. I understand that you have other ways to make it up but just want to understand that right? We should be backing out those earnings.
Caroline Dorsa: No. I would caution you against thinking about this as backing out in 2010. Think about these as very long leases that we are accelerating by the termination now.
Andrew Levi – Incremental Capital: Right, but we are not going to see the actual dollars in 2010; we've seen them all in 2009. Is that correct?
Caroline Dorsa: Right, you've see the dollars in 2009 that you would have otherwise seen over many years.
Andrew Levi – Incremental Capital: No, no, I understand that, but understanding as far as thinking about 2010.
Caroline Dorsa: Yes, that's correct, but it's a small number and it's not a significant number for 2010.
Andrew Levi – Incremental Capital: And then did you say, and maybe I missed it that you increased your reserve by $120 million? Is that correct?
Caroline Dorsa: No, you may be thinking of the fact that we increased our deposit with the IRS and what that does is reduces the rate of accruing interest so that it's favorable from an arbitrage basis.
Andrew Levi – Incremental Capital: I just misheard. Thank you very much.
Operator: Our next question come from the line of Mark Siegel – Canaccord Adams.
Mark Siegel – Canaccord Adams: Hi good morning. I was wondering if you could talk a little bit more about the specific initiatives comprising the energy efficiency program. What are the major pillars of the $166 million capital spent?
Ralph Izzo: Sure Mark. These are primarily low-tech programs we are talking about weatherization and lighting programs. We have been trying to direct them more towards the lower income urban communities of the state and they're distributed among residential and small commercial customers, largely.
Mark Siegel – Canaccord Adams: Okay and anything planned for smart grid or smart metering, specifically?
Ralph Izzo: We have some work in progress in the sub transmission level for what we call Advanced Loop Design. So as you well know, smart grid has 10 definitions for every five people you ask. So we tend to not act on smart grid in terms of smart meters or two way communications. We look more at improving our overall network. And Advanced Loop Design just allows us to minimize the impact of storms and outages on customers should one come through, and allows us to sectionalize the circuits with greater precision. So it's a great reliability tool that we've deployed on one circuit with tremendous success and we are looking to do more of that.
Operator: Our next question comes from Michael Worms – BMO Capital markets.
Mike Worms – BMO Capital Markets: Thank you very much. I had a question regarding the solar project. And if I calculate the number correctly, it comes out to about in $6,400 in kilowatts which is close to the cost of the new nuclear plant. Just wondering what kind of capacity factor are you expecting from the solar project?
Ralph Izzo: Michael, this is Ralph. These are about 10% to 12% capacity.
Operator: Our next question comes from Daniele Seitz – Dudack Research.
Daniele Seitz – Dudack Research: Thank you. I was just wondering do you have any specific plans for operating and maintenance expenses, especially over the longer term? And also in the reduction in refueling schedule in second quarter, is it caught up in the fourth quarter?
Caroline Dorsa: I will answer on the operating and maintenance, just to start off. So keep in mind we said earlier this year that we would manage operating and maintenance expense to be at a low level, close to a flat level, excluding pension expense. And we've been able to do that in all of our businesses year-to-date, so both business excluding our core businesses, coal, power and utility, excluding pension expenses are flat to down. And that's certainly is the kinds of things we look to target. We haven't guided on O&M expense, but you can be sure we're very focused on managing it just the way we've been managing it year-to-date.
Ralph Izzo: And hopefully, we didn't miss communicate. We have not change our refueling program at all. The plans come up every 18 months. What we tried to discuss before was that last year Salem 2 had an extended refueling outage because of a steam generator replacement, which was planned, scheduled and conducted at the second fastest pace of any in the industry. And this year our wholly owned Hope Creek had a just a plain vanilla refueling outage which it did in its own fastest ever time, not an industry record, but the fastest ever for Hope Creek. When you just look at the relative size of Hope Creek to Salem and you look at the relative duration of the outages and our ownership positions, you get this slightly different effect quarter-to-quarter for refueling. But there's been no change in our plans for refueling nor have we delayed anything for the nuclear plants. We wouldn't necessarily –
Daniele Seitz – Dudack Research: No, I was just thinking that sometimes the 18 months fall more favorably in the second quarter or the fourth quarter and that was the only reason I was asking the question.
Ralph Izzo: No, so we have a Salem 2 outage coming up in the fourth quarter of this year each as well as at Peach Bottom 3. [Excelan] will obviously run the Peach Bottom outage we'll also run the Salem outage and then we are back on the regular schedule. My guess that next spring will be Salem 1 and next fall will be Hope Creek and I won't take you out further than that.
Ralph Izzo: By the way, it's all assumed in our numbers.
Operator: Our last question comes from Nathan Judge – Atlantic Equities.
Nathan Judge – Atlantic Equities: Thank you. I just had a follow-up question, more conceptually, when you think of the renewable opportunity in New Jersey, given that the utility now seems to have kind of a cap [emergency] as far as putting in renewable energy. How do you view Power participating in the renewable energy spectrum? And when you look at RECs will there, if indeed a Waxman-Markey bill gets passed in the Senate will there be enough RECs being produced from what the utility can produce in order to satisfy the need for RECs in the States?
Ralph Izzo: Nathan, just so we are clear, the utility program will satisfy 4% of the solar component of the renewable portfolio standing in New Jersey. So the state, I believe, and this is speaking from policymakers is still eager to see a vibrant, competitive marketplace in renewables and particularly in solar, just given the constraints from a land perspective of onshore wind in our state. It's just very difficult given the density of our population to site onshore winds. Having said that, the state has really directed us to make these solar investments in underserved markets which is why you see us doing it on utility poles, on our own land, on HMFA-financed housing, on some of the municipal urban enterprise zone locations. So they are really trying to get us to deploy our capital in a way and get some market going so part of the project we just announced will result in a local manufacturer hiring 100 people with their inverter technology, which is essential because it is distributed facilities. So I think the reason why you see a prominent role for the utility now is that everyone recognizes that solar is not competitive. At current – the way energy prices are structured today, with the absence of externalities included, solar would never get built. So if you have to deliver a subsidy for solar to get built, whether that subsidy is in the form of a grant or an SREC, the regulators have, I think properly identified the fact that the utility is the least cost method for delivering that subsidy. Even having said that, they are is still leaving a place for competitors on the backs of these subsidies in the form of SRECs continue to play. So I think over the long term, if technology delivers on its promises, you'll see utilities back out of this. Power is not active in the renewables market right now. The only other renewables project we have going on outside of the utilities is our offshore wind project in Holdings which is at its very nascent stage, but has the prospect of being more competitive than solar, although that has a huge error bar of uncertainty around it at this point in time.
Nathan Judge – Atlantic Equities: Just as a follow-on question, if indeed the competitive cost of solar doesn't fall, and you are indeed needing to add more solar to the grid, as they say, I guess one of two things would happen. Utilities would step up or SRECs would rise significantly. Do you have the appetite to put on high cost rate-based, shall we say, or said differently, do the cost of SRECs have to rise considerably to make them competitive and that would therefore bode for higher BGSS prices?
Ralph Izzo: So I would argue that the smarter way to do it from a societal point of view is through the utilities, right, because what happens is the developer, because we're in both businesses, right? We are in it both as a utility and part of Holdings is doing it as a competitive business outside of the utility area. What happens is you need an SREC price that it as today's market price, but you need that locked in for 8 to10 years. And that's tough to sign on to when the panel manufacturers are telling you that the prices are going to drop by 50% in five years. Why would anybody do that? So the discount rate that people applied to SREC pricing is enormous, and that all gets passed on to the customer though BGSS. The alternative is to turn to the utility and say whatever the SREC is that benefit will flow back to customers. Whatever the market price for power is, that will flow back to customers. You the utility, as is the case here, will get paid for this as if it were a circuit breaker or a mile of copper wire. Put that panel in place, tell me what it costs, finance it with half debt, half equity and here's your 10% return. So the cost of capital for the projects is lower. The risk associated with the subsidy, if you will, is lower and if society, we don't make public policy, but if society decides that all of the benefits associated with solar, and I won't list them all here, are worth the extra cost, I think that that extra cost will be less if done in the utility. And that seems to be agreed to by our state regulators right now.
Kathleen Lally: Thank you, operator I think we will conclude the call at this time, but if there are folks who continue to have questions or, if not now, later, please feel free to call Investor Relations at PSEG. Our main number is 973-430-6565. Thank you.
Operator: This concludes today's conference, you may now disconnect.